Operator: Thank you for standing by, and welcome to the Northern Star September 2025 Quarterly Results Call. [Operator Instructions] I would now like to hand the conference over to Mr. Stuart Tonkin, Managing Director and CEO. Please go ahead.
Stuart Tonkin: Good morning, and thank you for joining us today. With me on the call is our Chief Financial Officer, Ryan Gurner; and our Chief Operating Officer, Simon Jessop. As we confirmed this morning, for the September quarter, we sold 381,000 ounces of gold at an all-in sustaining cost of AUD 2,522 an ounce. The quarter delivered a mixed performance across the portfolio, but our Kalgoorlie production hub performed very well, led by KCGM, where we maintained elevated production and development rates. Also pleasingly, costs for the quarter were better than forecast, reflecting our efforts on containing spending and continued focus on capital discipline. Despite the mixed production results for the quarter, we remain well positioned to deliver our full year guidance of 1.7 million to 1.8 million ounces of gold sold at an all-in sustaining cost of AUD 2,300 to AUD 2,700 an ounce. The KCGM mill expansion remains on track for commissioning in early FY '27 and significant progress is underway for this exciting step change to the operation. This week, we received ministerial approval from the WA government for the Fimiston South project and associated infrastructure, which supports higher future throughput and long-term cost efficiency at KCGM to deliver sustainable, high-margin ounces. We've also seen a consistent uplift in production rates from both the open pit and underground operations at KCGM, which Simon will talk to you shortly. With consistent primary ore feed and the significant 3 million ounces of stockpiles ready for processing, we're on track to maximize mill utilization and deliver on our production growth targets there. The group underlying free cash flow of AUD 14 million reflected investment outflows relating to the KCGM mill expansion project, returns to shareholders of AUD 416 million in dividends and AUD 67 million in tax installments. Our investment-grade balance sheet remains strong with a net cash position. And as the KCGM mill expansion is in the final build year, we're poised for increased production and lowering spending. Whilst our hedge delivery schedule also declines and provides greater leverage to spot gold prices. This outlook is very favorable towards growing cash flows in the near term. To operations, earlier this month, 2 separate events occurred at our Jundee and South Kalgoorlie operations that will see an estimated impact to December gold sales of up to 20,000 ounces. The effective volumes will be scheduled for processing across the remainder of the year, and Simon will provide further detail on both these events shortly. And I'm proud for the team's swift response to safely restore the operations as soon as possible. As I've already said, the company remains well positioned to deliver our full year guidance with stronger grades expected at KCGM in the second half, along with improved volume and grade performance across the broader portfolio. Combined with growing leverage to gold prices and ongoing cost focus, we are firmly aligned to our purpose of delivering superior returns for our shareholders. And I'd now like to hand over to Simon Jessop, Chief Operating Officer, to discuss the operational highlights.
Simon Jessop: Thank you, Stu, and good morning. The Kalgoorlie Production Center delivered a strong quarter. At KCGM, our largest asset, production met expectations while costs came in significantly lower, reflecting the team's disciplined approach to cost and capital management. Underground ore volumes reached an annualized run rate of 2.9 million tonnes with lower grades attributed to a step-up in development activity. Our Northern Star Mining Services team delivered 8.7 kilometers of development for the quarter, up from 7.5 in the June quarter, an outstanding effort by the team. Open pit ore volumes and grades were in line with expectations and ahead of last year. Productivity is set to further improve with Golden Pike North returning to one level -- one mining level ahead of schedule, reinforcing our confidence in achieving KCGM's FY '26 production target of 550,000 to 600,000 ounces. KCGM mill tonnes delivered an annualized run rate of 11.6 million tonnes, notwithstanding a major planned shutdown during the quarter. For FY '26, mill throughput is forecast to be 12 million tonnes with mill grades expected to lift for the remainder of the year. As Stu mentioned, we had an event at South Kalgoorlie earlier this month. After 60 millimeters of rain, a wall slip occurred in the historic open pit, temporarily affecting infrastructure for the underground mine. The main portal to the underground operations remains unaffected a return to normal stoping is expected during the quarter. Let me close on the Kalgoorlie production center by sharing how pleased I am with the progress on the KCGM mill expansion. Over recent months, construction has advanced significantly, and the project is now moving into electrical and piping installation. Through the remainder of FY '26, we'll transition into the final stages of construction, including finishing works, fit-outs and commissioning and testing. Turning to our Yandal production center. The highlight for the September quarter was the milling performance at Thunderbox, achieving an annualized record throughput of 6.7 million tonnes per annum, exceeding the 6 million tonne per annum nameplate capacity for a second consecutive quarter. The cost environment across Yandal remains challenging, and we continue to pursue cost initiatives wherever possible to mitigate pressures. At Jundee, gold sales of 55,000 ounces came in below plan due to lower stope grade ore at both Jundee and Ramone, which was also impacted by lower recovery. We expect similar grades through the December quarter with improvement anticipated in the second half. Development at Griffin is progressing ahead of schedule with first ore now underway, unlocking future access to higher-grade stope tonnes, a great effort by our Northern Star Mining Services team. As Stu mentioned, earlier this quarter, a localized structural failure occurred in the crushing circuit at Jundee. The team has acted swiftly, enabling operations to resume within 2 weeks. At Thunderbox, I am very pleased with the mill's performance, exceeding nameplate for the second straight quarter. This strong throughput helped offset lower grades from the Orelia open pit, which are scheduled to improve in the second half. Meanwhile, open pit mining at Bannockburn ramped up significantly with first ore expected to feed the mill in the second half of FY '26. Finally, turning our attention to Pogo. At Pogo, the underground mine and mill operated at an annualized run rate of 1.4 million tonnes per annum during the September quarter despite a planned major mill shutdown, a fantastic effort by our U.S. team. Mine grade was affected by sequencing, but is expected to improve over the remainder of the year. The mill continues to focus on recovery optimization, achieving 87% recovery despite lower head grades. Development of the 2 new portals is progressing well, unlocking access to the Central Veins and Goodpaster systems. Most supporting infrastructure is nearing completion with the portals also set to improve ventilation and haulage efficiency across other areas of the mine. Mine development averaged 1,664 meters per month, exceeding our 1,500-meter target. Let me finish by reaffirming that we are on track to deliver our group production guidance of 1.7 million to 1.85 million ounces. The June quarter is forecast to be the strongest as key growth projects reach completion. Across the business, our team remains and continues to have a sharp focus on cost and capital discipline. I would now like to pass on to Ryan, our Chief Financial Officer, to discuss the financials.
Ryan Gurner: Thanks, Simon. Good morning all. The company is in a great financial position. Our balance sheet remains strong in a net cash position of AUD 616 million with cash and bullion of AUD 1.5 billion at 30 September. On a net mine cash flow basis, the business generated AUD 183 million, thanks to higher gold prices and prudent cost discipline. Figure 8 on Page 10 sets out the company's cash and bullion movements for the quarter, with key elements being the company recording AUD 751 million of operational cash flow, net of AUD 67 million in income taxes paid. After deducting CapEx of AUD 614 million relating to plant and equipment and mine development, AUD 59 million in exploration and AUD 64 million in equipment finance and lease costs, quarterly free cash generation was AUD14 million. Looking ahead, operational free cash flow is expected to rise with increasing production at KCGM from Golden Pike North and ramp-up of underground production. Continued solid throughput at TBO with increasing grade planned and increased throughput and grade at Pogo. Also during the quarter, the company paid its FY '25 final dividend totaling AUD 416 million. Our growth projects and exploration plans are tracking well. Major operational growth capital investment includes at KCGM, open pit development at Great Boulder and underground development at Fimiston and Mount Charlotte, which will enable us to lift production over the coming years. And at Thunderbox, open pit development at Orelia and Bannockburn. In respect of the KCGM growth project, AUD 196 million was invested during the quarter with major progress in structural and mechanical installation. As Simon mentioned, electrical and piping installation is now underway with final construction fit-outs and commissioning to follow throughout this year. The spend profile is forecast to decline over the financial year with the completion of procurement with forecast personnel and plant and equipment demobilizing commencing in the second half. At our Hemi project, AUD 41 million was spent advancing process plant design, securing long lead time items and progress on nonprocessing infrastructure. On other financial matters, Q1 costs tracked to plan with our teams remaining disciplined with cost and capital decisions. Q1 depreciation and amortization is within the full year range provided of AUD 875 to AUD 975 per ounce and noncash inventory charges for the group are a credit of AUD 34 million, driven by low-grade stockpile build and higher ore stocks and golden circuit at KCGM and higher ore stock value at Jundee. From a tax perspective, we maintain our full year cash tax guidance range of AUD 700 million to AUD 835 million, with 2/3 expected to be paid in the first half. Landholder duty for the De Grey and Saracen transactions are estimated at AUD 200 million to AUD 300 million. Payment is expected over the next 6 to 18 months. And a reminder, the company will pay its semiannual coupon payment and annual insurance premiums in the next quarter. Finally, the company's committed hedge position at 30 September is 1.275 million ounces at an average price just over AUD 3,300 per ounce. I will now pass back to Harmony for the Q&A. Thanks very much.
Operator: Your first question comes from Daniel Morgan from Barrenjoey.
Daniel Morgan: My first question relates to costs, really. You've said costs were lower than planned, and it looks like lower than market expectations. How much of this is lumpiness of spend, noting that sustaining CapEx, you're run rating $576 million versus $750 million guidance. Obviously, CapEx can be lumpy. Yes, just wondering how much -- what initiatives really drove this cost outcome? How sustainable it is? And how much is it just lumpiness?
Stuart Tonkin: Yes. Thanks, Dan. What we want to be careful to do is to not defer important sustaining capital that creates any future issues. So there's a fine balance there. But what it means is really very strict focus on expenditures, necessary expenditures that obviously also support the full year guidance. So yes, pleasing to see that work and pleasing to see where even on a low ounce quarter, where the cost came in, and we see that they just -- those unit costs improved throughout the year, helped with just maintaining that cost, but also growing the production base. We see ability to sustain the unit costs and improve on them. There is a big structural change in that cost base as we turn on Fimiston next financial year, but it's important this year is another investing year. So it's very important we keep that discipline focus optimization across them.
Daniel Morgan: And then just with the production plans, I mean, you flagged this 20,000 ounce impact in the December quarter. I mean, reading the notes, it appears that you think some of this will be caught up through the year? Or can you just, I guess, expand on the production impacts and whether they can be caught up?
Stuart Tonkin: Yes. So essentially, the impacts of the operations meant sort of downtime, we're able to do other productive work and just resequence mine plans. The team has been fantastic at being able to do that. Mining activities continued. So it's really just mill disruption at Jundee, which we can absolutely catch up on. So hence, we've sequenced that into the second half of the year. Down in South Kalgoorlie, its contributions low volume, high grade and some development activity, ground supports continuing whilst we get the second egress reestablished and then production turns back on. So at this stage, we've said up to 20,000 in this quarter, but essentially, it just gets deferred, not lost.
Daniel Morgan: And last question is just looking at the key drivers across the business in terms of production outcomes in the quarters ahead. What are the key drivers? And what is the expectation towards the December quarter, key drivers being tonnes grade. Obviously, you're not going to have any mill outages apart from what you flagged at Jundee this quarter. Can you just run through that?
Simon Jessop: Yes. Thanks, Daniel, Simon here. So the biggest -- the big key driver is getting the Golden Pike North down to the 1 bench. So it's taken us the Q1 to get us down to the 600 bench at Golden Pike North. So now we've got the East side and the West side all at one level. We're on top of where all the ounces really kick and that low strip ratio for the rest of the year. So even KCGM down in Golden Pike, we averaged a strip ratio of 5:1, and that will just decrease over the rest of the year. But the hard work has really been done. So we are set for the jump. What I'm really pleased about is that the team has done it earlier than planned. So that sets us up really, really well for the jump for the next few years, not just the quarter for increased gold production at KCGM. So that's the biggest lever. Across the rest of the group, it really is Yandal has some higher-grade ore coming in from open pit sources in the second half as well as increased grade contribution at Thunderbox from the undergrounds. And over at Pogo, it's returning to around the average of the reserve grade. So if you average quarter 4 and quarter 1, we're bang on the reserve grade. Q1 was lower. So it's really getting back into some better areas at Pogo, primarily in the second half. So they're the key levers across the business that we see.
Daniel Morgan: And sorry, I imagine Golden Pike is going to be skewed or weighted to the second half of this financial year.
Simon Jessop: Well, Golden Pike now, we're slightly ahead of plan in terms of -- we're on the mining level. So the large ounce contribution from Golden Pike North, which we spent numerous years getting to, we're there now, which is positive.
Operator: Your next question comes from Levi Spry from UBS.
Levi Spry: Maybe I could just pick up on that Golden Pike North piece, Simon. So will we see materially higher grades start coming through from the open pit at KCGM this quarter? Or are you seeing them now?
Simon Jessop: Yes, correct, Levi. We're seeing the grades increase, but it's not just the grade, it's the volume. So the grade has always been there, but we haven't had the volume piece with it. So we now see that strip ratio just declining. We're back on one efficient bench on both sides of the pit. And yes, you'll see the grade climb at KCGM. I think we guided at the site visit for Q1 grade process to be 1.2 to 1.4 grams per tonne, and we averaged 1.4 for the quarter. So you're starting to see that grade jump up at KCGM.
Levi Spry: Yes, nice one. And could I just ask a question around Hemi. Maybe just sort of reiterate sort of time lines that you're expecting. And I think maybe there's been some comments around a sort of 2.5-year build. Have I picked that up correctly? Just how do we think about the next steps forward there later in the financial year?
Stuart Tonkin: Yes. Thanks, Levi. Yes, the 2.5-year build essentially is I guess the commentary from the DFS and accurate, we basically say the 6 months of engineering and work and then really 2, 2-plus year construction. The -- what's happening right now, obviously, is the approvals are still pending, working with all stakeholders to advance any needs that are there. We expected that in the March quarter, approvals could be met, then we were going to refresh pricing to make sure that we update all the pricing with all the counterparties and put that in front of our Board for a final investment decision during this end of this financial year. So I think what I'd explain was that the build likely, we want to see KCGM turned on contributing, production increasing there, sort of seamless ramp-up and without the CapEx spend and then neatly dovetail in the commencement of Hemi construction. Things can overlap as far as approvals, long lead items, expenditure, preparations, design, et cetera. But it's probably important that the transfer of knowledge from KCGM goes with the Hemi build. So yes, it's the second half -- late in the second half updates on that. But really, we still need approvals before we can advance on turn and earth and doing things up there.
Operator: Your next question comes from Matthew Frydman from MST Financial.
Matthew Frydman: A couple of questions on various undergrounds. Maybe firstly, at Jundee, Simon mentioned the disappointing grades during the quarter, running at about 2.5 grams a tonne, whereas I think your reserve grade is closer to 4 grams a tonne. That asset seems to have fairly consistently underperformed the reserve grade, at least in most of the recent quarters. Can you point to any perhaps recent grade control drilling or otherwise, I guess, what gives you confidence that those grades are going to improve in the second half of the year, as Simon alluded to?
Simon Jessop: Yes. Thanks, Matt. So where we're seeing the grades start to increase back to a higher number at Jundee really is from the Griffin area to the north and the development in that part of the mine is actually ahead of plan. So that's really pleasing. That gives us access to some better stope grade. So it's mainly the average stope grade in Q1. We just didn't have access to the right areas to get that typical pickup in grade that we get in Jundee. So that's one area. And the other area really is a place called Plutus, which we've been drilling for the last few years, has some very good grade that we're accelerating our mine plan out to. So it's a combination of a number of different areas across Barton, [ Nimary ] and Gateway. And it's just that it's getting those average grades up from some of those higher-grade sources coming in. So everything else was fine in terms of development plan. Ramone is on plan. That's coming to the end of its life. So we'll finish that project over the course of FY '26. But it's just timing of where those higher-grade stope tonnes come through to lift the average back up.
Matthew Frydman: Got it. That's pretty clear. And then maybe a similar question then on the KCGM underground. You talked about the circa 3 million tonne per annum run rate being achieved in the quarter, but obviously, the grade a little lower due to the proportion of development. When does that sort of mix shift? Or in other words, when do you reach that inflection point on development where you're sort of hitting both the tonnage and the grade coming out of the KCGM underground?
Simon Jessop: Yes. With -- look, what I was really pleased about was the 8.5 kilometers of -- or 8.7 kilometers of development that we got for the quarter. So that's right in the rails of what our plan is for the 36 to 40 kilometers of development for the year. It is -- the grade will increase as Fimiston starts to produce more stope to it. So it's still heavy development focus, waste and ore. But as the stoping contribution starts to increase, which it did throughout the quarter, you'll see that grade -- that average grade start to come up. And then it's just a function of where we're mining at Mount Charlotte. So there's a lot of different areas there. But fundamentally, it's -- it will return back to the average grade with volume, but it's the stoping contribution and the ramp-up at Fimiston is the main area that will start to lift.
Matthew Frydman: Any particular timing around that? I mean, obviously, you've said 3 million tonnes of volume this year, 4 million tonnes next year. Is that at something close to reserve grade? Or yes, what's the sort of timing around that?
Simon Jessop: It's just incremental because as the mine keeps growing, that production is not going to be 3 exactly and then a jump exactly to 4 and a jump again exactly to 5. So as the stoping areas and the mine starts to really be unlocked, then you'll just see an incremental growth in production as well as grade with more stoping. End of the day, it's the stope dirt, which is what we're chasing at KCGM.
Operator: Your next question comes from Mitch Ryan from Jefferies.
Mitch Ryan: Firstly, can we spend a little time at Jundee? Can you help me understand the impact on the crushing circuit? So you've reconfigured it into the SAG mill. What's the cost and time frame to return it back to the sort of design flow sheet?
Simon Jessop: Yes. Thanks for that. The processing is back running at Jundee again. So we've had around 2 weeks where we've had to pause stop. It's the access to the infrastructure has failed for the conveyor belt that feeds the SAG mill. So we've now got going again in terms of feeding that and isolated the coarse ore stockpile area. And now we can take our time to get that rectified over probably the remainder of this quarter. It will probably take a couple of months to actually fix that. But in terms of crushing, we can still crush crusher material at the front end of the circuit, and we can still mill the material through a revised change on the conveyor set up at the back of the circuit. And now we've isolated that particular area, and we'll work on the fastest fix we can for that infrastructure.
Mitch Ryan: Okay. So sort of that's the 10,000 ounce impact and then potentially a little hit to operating costs as well over the same time period.
Stuart Tonkin: Yes. It's the operating cost at the moment is that engineering rectification remediation work on the coarse ore stockpile infrastructure that will be a bit of an unknown, but it's talking $5 million and $10 million, you're not talking 50s and hundreds, right?
Mitch Ryan: Yes. Yes. Cool. And then my second question just relates to Hemi, and you've given us obviously a bit of an update there. But specifically on the negotiations with the traditional owners, how are they progressing? Do you have a rough time frame of when you would expect those to be concluded?
Stuart Tonkin: Well, there's engagement with all stakeholders. Again, traditional owners absolutely continuing and working well together, but equally across all stakeholders there. And we set out that in the March quarter, it was essentially all of the feedback loops have occurred to regulators to consider all those things and any conditions related to approval. So yes, that's all on track and being pretty patient with all that to make sure it's done well.
Operator: Your next question comes from Hugo Nicolaci from Goldman Sachs.
Hugo Nicolaci: I just want to dig into the cost at KCGM a little bit more. It looks like the open pit mining costs have started to normalize back to about $8 a tonne. The underground costs sort of tracking around that $40 million a quarter in terms of spend. Are you able to just comment sort of directionally what those rates should be going forward for the rest of the year? Should we see the open pit continue to improve and the underground sort of just pick up as you do more development?
Ryan Gurner: Hugo, it's Ryan here. Yes, look, overall operating costs per tonne are a bit lighter than that. They're around currently $6 a tonne, just under actually, $5.95. Probably expect, as Simon said, as we -- on that one bench at GP North, we expect efficiencies to improve there. And then as we get into Ivanhoe with the approvals now, the cost per tonne out there is even lower again. So we expect those to improve. And as Simon said, with the incremental with the ramp-up on the underground, which I think the costs are going pretty well there, should see some improvement there, too.
Simon Jessop: Yes. Hugo, it's Simon. I think the -- what you'll see is the run rate has stabilized in the open pit, and we've had 2 quarters at 22.5 million tonnes mined. So it's getting more efficiencies into that, but that's a 90 million tonne annualized run rate. So we see that as around the -- where we're going to sit. And now as we -- now we've got the approvals from Section 38, we're going to gradually get more volume from Ivanhoe, which is obviously a shorter haul, less powder factor, et cetera. So the volumes will stay around that $90 million, but we see positive momentum in the efficiencies at KCGM. And with the underground, it's a little bit like the previous discussion. As the stoping dirt increases the contribution, you'll certainly start to see the average cost per tonne for the underground start to come down because we're getting cheaper tonnes from the stope dirt across Fimiston in particular. So pretty pleased with where we're sitting at the moment.
Hugo Nicolaci: Fantastic. It's all positive from a cost piece. And then just on the processing side, it looks like the processing costs have sort of stayed at that $41 a tonne from last quarter. I think sort of 6, 12 months ago, that was more like low to mid- $30 a tonne. Is that just the rate now going forward as the mill sort of approaches end of life? And how should we think about as the expansion comes online? I think historically, you've talked to a $7 a tonne reduction. Should we be thinking that number potentially then bigger?
Simon Jessop: Yes, it's a really good point. We averaged about $33 to $34 a tonne at KCGM for the quarter. But certainly, as we're getting to the end of that life, the mill and the process plant from a structural perspective has had a day. So I'm really, really looking forward to getting the new processing plant. And I absolutely do feel that gap has significantly widened from when we put out the original KCGM feasibility final investment decision. So we've seen things like cyanide and other things costs increase across the group. But in terms of the maintenance cost and operating the 30-year-old plant at KCGM, that gap has widened as it's coming into the last year of its life.
Hugo Nicolaci: Yes. It sounds like potentially some significant room there. But one more, if I could, just on the corporate overhead piece, that just seems to have increased across most of the assets versus the run rate over the last 12 months. Can you just comment on what's driving that and we should expect that to normalize going forward from this quarter?
Ryan Gurner: Yes, Hugo, Ryan here. Look, obviously, we've picked up our De Grey teams is probably part of that. And then there's been a little bit more addition around the technical and some of the operational piece here in the business. It will -- from a per ounce perspective, it will reduce because this is our lowest ounce quarter. But from a fixed cost perspective, it's probably -- it will probably continue throughout the quarters ahead, but on a cost per ounce reduced.
Operator: [Operator Instructions] Your next question comes from Andrew Bowler from Macquarie.
Andrew Bowler: Just one on costs for me. From memory, Northern Star has a gold price linked staff incentive scheme. I was just wondering if the recent gold price lift is something that can be accommodated in the current guidance for this year? And if so, is there any sort of lumpiness to expect in those payments over the year that might be meaningful for us?
Stuart Tonkin: Yes. Thanks, Andrew. The -- it did stale as the gold price ripped up $3,000, $4,000, $5,000, $6,000 an ounce. So that's been pretty full at a full rate for a number of years. So there's not compression, I guess, or bounces as a pullback in gold price at the moment. So it's fairly sticky and embedded into -- but it is a very strong reminder of what we're enjoying at levels still above $6,000 an ounce. But yes, it's not something that's a spring related to any of these pullbacks. But what we're enjoying is still -- if we look back to our resource reserve pricing and overall cost structure, it's really around our productivities, our production increases, the capital wind down and the structural change with KCGM that's going to make the big difference to migrate us down the cost curve. It's not going to be chips and savings on unit labor costs. It's going to be on efficiency from that labor, productivity from that labor as opposed to unit cost of it.
Andrew Bowler: Understood. And maybe just one more on the labor force. I mean, obviously, there's been some articles written about the strength of the gold sector in Western Australia, but obviously, some other resources industries are suffering a little bit as well. Is there any broad comments you can make about the state of the industry at the moment, how you're finding availability of skilled staff? Is there another level of tightness coming? Or is it very much being offset by some weakness elsewhere?
Stuart Tonkin: Yes. I don't see that tightness of the tightening of those labor markets putting pressure on wages. What I see is cost of living put expectations and pressure on what people are feeling generally, and that's not just here, that's also in Alaska. It's pleasing to see, obviously promoting ties to the U.S. to get new metals business growth. That will take a lot of time before there's any kind of pressure from those new markets if there's growth and investment in that phase. But what we need to do is turn around attractiveness of investment back into Australia. So that's very promising in that regard. But equally, at the moment, we're not gold in the same lane, and we're focused on the things that are in our control.
Operator: There are no further questions at this time. I'll now hand back to Mr. Tonkin for closing remarks.
Stuart Tonkin: Great. Thank you all for joining us on the call, and I appreciate your interest in our company today on a -- what is a very busy day. So thank you, and have a good day.